Operator: Good afternoon, and welcome to ZimVie’s Second Quarter 2023 Earnings Conference Call. Currently, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of today’s call. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Marissa Bych by Gilmartin Group for introductory disclosures.
Marissa Bych: Thank you all for joining today’s call. Earlier today, ZimVie released financial results for the quarter ended June 30, 2023. A copy of the press release is available on the company’s website, zimvie.com, as well as on sec.gov. Before we begin, I’d like to remind you that management will make comments during this call that include forward-looking statements. Actual results may differ materially from those indicated by the forward-looking statements due to a variety of risks and uncertainties. Please refer to the company’s most recent periodic reports filed with the SEC and subsequent SEC filings for a detailed discussion of these risks and uncertainties. In addition, the discussion on this call will include certain non-GAAP financial measures. Reconciliations of these measures to the most directly comparable GAAP financial measures are included within the earnings release and/or the investor deck issued today found on the Investor Relations section of the company’s website. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, August 2, 2023. ZimVie disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. With that, I will turn the call over to Vafa Jamali, President and Chief Executive Officer of ZimVie.
Vafa Jamali: Good afternoon and thank you all for joining us. In the second quarter, we continued to drive steady progress against our most vital objectives of innovation and commercial execution, while taking deliberate steps to improve our operating profile. Our most critical imperative continues to be our innovation platform as we work to actively reshape our portfolio and lean further into the market with the best long-term growth potential. On this note, we continue to build traction in the second quarter with our recently launched dental solutions, including our T3 PRO and TSX Implants, and the Encode Emergence Healing Abutment. We have been actively expanding the reach of these premium portfolio additions to markets around the globe. This includes the launch of T3 PRO and TSX in the Asia-Pacific region, as well as the expansion of Encode Emergence into the European market. We also continue to rollout new products with the addition of 2 new bone graft solutions, the RegenerOss CC Allograft Particulate and RegenerOss Bone Graft Plug. As we shared at the time of the launch, these 2 bone graft solutions broaden ZimVie’s presence in the dental biomaterials market and expand our comprehensive suite of offerings. Our sales team and DSO partners are having success engaging existing and new customers on the heels of this cadence of launches, and we believe that the pace of adoption of our new-to-market products is outpacing growth in the overall market. Turning to other areas of progress in our dental portfolio. As we announced in April, we have now opened a state-of-the-art dental science educational and training institute at our Palm Beach Gardens Dental facility. It’s been a great pleasure hosting current and prospective dental customers at the institute in recent month, and we have been receiving great feedback on the training we have posted thus far. As of today, we hosted 23 different courses with over 500 clinicians in a short span of roughly 12 weeks since opening. We anticipate hosting many additional events this year and ultimately hosting over 1,000 clinicians in 2023. In summary, I am pleased with our position in dental and remain confident in our ability to perform at or above market in our core product areas going forward. Turning to our spine business. We are also driving incremental success within the spine portfolio with noteworthy success in our international markets. An accelerant for growth was O-U.S. growth of Mobi-C. I’ve been showcasing the importance of clinical evidence in our spine portfolio for the past 18 months, and Mobi-C’s truly differentiated clinical evidence dossier was rewarded here. Mobi-C received French government reimbursement and the highest quality rating from the British clinical panel, ODEP, early in the second quarter. These developments have helped drive strong European performance, which is particularly relevant as Europe’s been historically underpenetrated and an under-adopted region for cervical disc replacements. Building on our spine presence outside the U.S., we are also excited to announce that we’re continuing to expand our commercial efforts for The Tether, our differentiated non-fusion spinal device for the treatment of idiopathic scoliosis in key countries in both Europe and in Asia-Pacific. Finally, we’re advancing our Brainlab partnership. As a reminder, in March, we announced a global development agreement with Brainlab for spine-enabling technologies to provide our customers and patients the deepest level of integration between ZimVie products and Brainlab’s industry-leading portfolio of spine imaging, planning, navigation, and robotic-assisted solutions. Today, we continue to work on achieving compatibility between our spinal implant and Brainlab’s spine and trauma navigation systems, allowing us to enhance workflow and accuracy in the operating room while reducing intraoperative X-rays and radiation exposure. We are now collaborating much more deliberately at the customer level, and I look forward to sharing some customer successes in coming quarters with you. Looking forward, we will continue to engage with our key surgeon customers, innovate on and around our existing solutions and ultimately, optimize our position in markets where we’re positioned to win. Turning to our continued operational improvement. I’m excited to announce that we have now completed all TSAs related to the separation from our former parent, Zimmer Biomet. In these transition agreements with the parent, we refreshed our core IT systems, moving over 950 servers to datacenters and transitioning over 200 applications to modern and largely cloud-based platforms. We are also finalizing the ERP conversions with our last conversion in Barcelona set to finalize this fall. In addition, we’ve made meaningful reductions to our physical footprint, receivables, and corporate overhead. We have more work to do surrounding optimizing inventory levels and optimizing manufacturing output. These actions are in accordance with the plan we laid out at the time of the spin and are included in our 2023 financial guidance. I’ll now turn the call over to Rich to outline our financial performance.
Rich Heppenstall: Thanks, Vafa, and good afternoon, everyone. I’ll begin by reviewing our second quarter 2023 results and we’ll close by providing our updated outlook for the full-year 2023. Total third-party net sales for the second quarter of 2023 were $224.9 million, a decrease of 3.6% on a reported basis and a decrease of 3.4% in constant currency. Moving on to our key segments. Global dental’s third-party net sales were $118.7 million in the second quarter, representing 40 basis points of growth in both reported and constant currency when compared to the prior-year period. Although, the dental market as a whole was relatively soft in the second quarter, solid commercial execution and the continued market acceptance of our new implants position us very well for the longer-term. Additionally, we continue to see strength in our digital offerings, which grew high-single-digits in Q2 versus the prior-year period. In the U.S., dental third-party net sales of $69.3 million declined slightly by 1.3%, driven by a slightly weaker implant market, offset by strength in our digital solutions sales. Outside of the U.S., dental third-party net sales of $49.4 million increased by 2.9% on a reported basis and 2.8% in constant currency, driven by growth across all 3 of our product families: implants, biomaterials, and digital. In particular, we are pleased to see strong market acceptance of our T3 PRO and TSX Implant launches. Second quarter global spine third-party net sales were $106.2 million, a decrease of 7.8% on a reported basis, and a 7.2% decrease in constant currency when compared to the prior-year period. The decrease was primarily driven by continued competition in spine market and our decision to exit China following volume-based procurement, offset by sales that were previously attributed to Zimmer Biomet. As Vafa intimated, we are pleased with our Mobi-C and Tether performance relative to the balance of our core spine portfolio led by growth in Europe. In the U.S., spine third-party net sales of $84.5 million decreased by 9% driven by competitive pressure in core spine, partially offset by a relative improvement in Mobi-C and Tether. Outside of the U.S., spine third-party net sales of $21.7 million, decreased by 2.9% on a reported basis, but grew 10 basis points in constant currency. The impact of our decision to exit China is estimated to be $2.7 million versus prior year and is offset by $3.8 million of sales previously recognized by Zimmer Biomet that are now ZimVie sales. Second quarter adjusted gross profit of $151.4 million compared to $153.4 million in the prior year period. Adjusted gross margin of 67.3% reflects an increase of 160 basis points when compared to 65.7% in Q2 of 2022. The increase in gross margin versus prior year is driven by a further reduction of inventory charges in our spine segment resulting from our operational initiatives to better manage inventory partially offset by higher cost of products sold in our dental segment due to product mix. Adjusted research and development expense of $11.5 million was 5.1% as a percentage of third-party net sales. Second quarter 2023 adjusted selling, general and administrative expenses of $125.6 million or 55.8% of third-party net sales was 250 basis points higher than the prior-year period. This increase was due to lower net sales, higher marketing- and medical education-related expenses, and year-over-year differences in our corporate expense structure. Note that this time last year, ZimVie was a newly spun company, and we were still building our infrastructure as a newly independent company. Adjusted EBITDA in the second quarter of 2023 was $29.7 million or 13.2% of third-party net sales and reflects a modest decline of 20 basis points from 13.4% in the prior-year period. The decrease in adjusted EBITDA margin is primarily due to lower net sales and higher selling, general, administrative costs as previously discussed, offset by higher gross margin. Adjusted earnings per share in the second quarter was $0.17 on a fully diluted weighted average share count of 26.3 million shares. Touching on working capital, liquidity, and debt. In Q2, we continued to make progress on our new initiatives to capitalize on the strength of assets on our balance sheet and the application of our disciplined financial framework. We have much more to do in these areas, but have seen a reduction in inventory-related charges in the first half of the year that have manifested themselves in higher gross margin, and we have reduced net inventory by $6.3 million since December 2022. In addition, well-funded assets on our balance sheet have allowed us to further reduce capital spending by $7.1 million year-over-year. We ended the second quarter with $66.2 million of cash and equivalents, roughly flat to Q1. As a reminder, our $175 million credit facility revolver remains undrawn. I’ll now turn to our revised full-year 2023 outlook. We are pleased with our progress we are making and are subsequently revising our full-year 2023 financial outlook. Starting with revenue, we are revising our expected full-year 2023 net sales to be in the range of $850 million to $870 million, up from our previous guidance range of $835 million to $860 million. Looking at our segments. We continue to expect 2023 dental net sales to be flat or to grow in the low-single-digits versus 2022. We now expect 2023 spine net sales to decline in the high-single-digits to low-double-digits relative to 2022, inclusive of an approximate [3 percentage point] [ph] negative impact from our decision to exit the China market. To provide some additional transparency into our third quarter revenue expectations, we are expecting a more pronounced impact from seasonality during the summer months versus historical periods. As of today, we expect net sales to be sequentially lower in the third quarter, down low-double-digits versus our second quarter with dental roughly flat year-over-year, reflecting this historical seasonality. Moving to adjusted EBITDA margin. We expect full-year adjusted EBITDA margin to be in the range of 13.5% to 14% of net sales, the same as previously guided. We are pleased with our year-to-date 2023 financial performance, and we’ll continue to uncover and execute on opportunities to optimize our income statement and balance sheet. For Q3, we expect EBITDA margins to be sequentially down versus Q2, commensurate with the impact of seasonality on our Q3 revenue, as just mentioned. Consistent with our raising of revenue expectations and year-to-date earnings per share performance, we are revising our adjusted earnings per share guidance range to $0.50 per share and $0.70 per share on a fully diluted share count of 26.5 million shares, increasing the bottom and top end of our previous guidance range of $0.40 to $0.60 per share. With that, I’ll now turn the call back over to Vafa.
Vafa Jamali: Thank you, Rich. I’m pleased with our progress in 2023 to date, as well as our execution on streamlining objectives. Although, we have additional work ahead to return our business to durable growth, I’m confident in the strength of the assets in our portfolio and our presence in underserved end markets, which ultimately bring great value to patients. As we continue to improve the efficiency of our teams, evolve our product platforms, and execute commercially, we look forward to showcasing the results that this work will deliver in the back half of the year and beyond. With that, we will open it up to questions.
Operator: Thank you. We will now conduct the question-and-answer session. [Operator instructions] Today’s first question comes from the line of Robert Marcus from JPMorgan. Please proceed.
Robert Marcus: Great. Thanks for taking the questions, and congrats on a nice quarter.
Vafa Jamali: Hi, Robert.
Robert Marcus: Maybe to start, it looks like a lot of the outperformance, at least versus my forecast, came from outside the U.S. dental and particularly, I mean, outside the U.S. dental and outside the U.S. spine rather than the U.S., which was roughly in line. So, maybe speak to some of the trends you’re seeing outside the U.S., what’s driving the outsized growth there versus estimates? And how should we think about those two line items as we move through the rest of the year and into next year?
Rich Heppenstall: Yeah. Hey, Robbie, good afternoon. Nice to talk to you again. This is Rich Heppenstall. So, I’ll start with dental, and then I’ll kind of round it out with spine from an O-U.S. perspective. And so, on the dental side, we actually saw pretty good growth in our EMEA region. And it was pretty strong growth versus kind of our internal expectations. And we grew actually all three of our major product categories very nicely in that particular region, including our biomaterials offerings, our digital solutions, and then also implants grew. So, we saw some fundamental recovery in Europe across many of our geographies that we serve in Europe on the dental side. So, we were pleased with that performance. On the spine side of things, there was an announcement that was made a few weeks ago regarding the French reimbursement of Mobi-C in that particular country. And we’re the only cervical disc device in France that is actually reimbursed by the government. And we’re actually getting a lot of traction from Mobi-C growth, particularly in France, and it started to permeate through the rest of Europe. And so, our Mobi-C growth in Europe is actually accelerating. And then secondarily, Tether, as we geographically expand to multiple geographies, is also growing really nicely in Europe. And so, we’re seeing some foundational strength, particularly in our core products in EMEA that’s really an uplift on the spine side.
Robert Marcus: Great. Really helpful. And then, again, a good EBITDA in the quarter, showing upward improvement. You talked about some of the trends there. But as some of these improvements you’re planning to make on inventory and continued improvement in sales. How should we think about your target for EBITDA expansion as we move forward? And I know you’re not guiding for 2024 now, but how should we think about your near- to mid-term ability to expand EBITDA margins and your confidence in that ability? Thanks a lot.
Rich Heppenstall: Yeah. No problem. So at the end of our last earnings call in Q1, we did announce a restructuring. And so, we announced a benefit in 2023 that will also carry itself forward into 2024. And we expect to start to see the real benefits of that restructuring announcement, probably in the latter few months of this year. A lot of it is kind of back-end loaded, particularly where we made some of the changes in some of the particular geographies. And so, on the first hand, we think there’s an annualized benefit relative to that restructuring that will carry forward into 2024. Secondarily, you’ll see in Q2 that we actually expanded margin again in Q2, despite a little bit of a headwind around product mix within the dental business. And the reason for that is we have implemented purchasing controls on the spine side that is really limiting the amount of excess and obsolete inventory charges that we’re taking. And so, we expect to be able to continue that effort and be able to continue to expand margins despite kind of what’s going on, on the top-line. But, obviously, we’re encouraged by the strength of Mobi-C and Tether O-U.S. and our dental business O-U.S. as a baseline as we exit the year.
Robert Marcus: Great. Appreciate it. Thanks for taking the questions.
Operator: Thank you. One moment, please. Our next question comes from the line of Matt Miksic from Barclays. Please proceed.
Matt Miksic: Hi. Thanks so much for taking the question. I just wanted to follow-up on some of the trends that you talked about, Vafa, and in particular, the competitive and kind of market trends that you talked about in spine. Can you maybe give some color as to what are driving the pressure points for you, if that’s the right way to describe it, in terms of competition? And what types of things are you seeing in the organization that might give us some sense that things could stabilize in 1 quarter, in 2 quarters, in 3 quarters, I guess, on the spine side? And then, I have one quick follow-up.
Vafa Jamali: Sure. Hey, Matt. So, really, on the spine side, we really decided that we had to invest more seriously, more heavily in our platforms. And this is both the core spine, which is arguably the most competitive part of spine, and also not forgetting Mobi-C and Tether, which is our most differentiated assets. So, overall, as we looked at where are the areas where we get the biggest impact, that’s the places where we spent the energy, the resources. And I do think that that space is very, very competitive. But I do think that we are addressing the areas of concern. One was enabling technologies and how you compete there against others that have enabling technologies. And with Brainlab, I think we’re really securing a good place there with a very, very state-of-the-art technology platform added to our devices, which I think are going to be a really, really great match. So, that’s an area that we address there. With Mobi-C, of course, we’ve had some success in Europe launching it with Tether. We’ve had success in Europe and Asia-Pac with great new users and really successful procedures. But we’ve also reinvigorated those portfolios. So look at us continuing to build on that and what do we bring out to the market to reenergize the U.S. market, which is obviously the biggest market there. We’re doing a lot of reimbursement work and a lot of R&D work that’s going to really satisfy and fortify those technologies. So, it’s a competitive space. I think we’ve got a really, really good opportunity to continue to differentiate and get back some business. We had some gaps in the core area that we’re filling right now, which are really, really critical. And I also look at using some of the disruption in the spine world to our benefit as well, frankly, for the balance of this year and into next. So, those are the areas that I’d be focused on for spine to get it ultimately to growth.
Matt Miksic: Great. That’s helpful. And then just on the dental side, and I apologize if this was covered, I was kind of hopping back and forth between some other calls, there’s a lot of folks, so I think this evening be. Just one of the concerns as you and everyone is aware that there may be some pending pressure, consumer-driven pressure on the dental side of the business. And, ironically, when recession peers were higher, things seem to be kind of moving better. And it seems like maybe things are slowing a little bit. Do you think any color as to whether that has anything to do with like the consumer market generally? Or is this just a comp issue? Or any color that you’re picking up on the field related to the demand for implants and the sustainability of growth in that key segment?
Vafa Jamali: Right. So, right now, we believe we’re outperforming the market for premium implants. So, that is definitely the case. So, we are gaining more customers, and we’re filling our training programs, and we are in servicing around the clock. So, I do believe that we have new users coming on board. Regarding the market as a whole, I think it’s, for sure, softer than it was a few quarters ago, but I do believe that that’s very temporary. And as long as we can hold up here and not lose customers and continue to kind of bring on new customers, I think we’re in pretty good shape. So, as far as the market is concerned, I think ZimVie’s premium implants are doing quite well on the back of both the innovation that we’ve done, which has had really good uptake in the market, and on the back of just a really solid digital dentistry platform that allows us just to onboard pretty quickly and to become implantologist with relative certainty that they could perform the task at hand. So, overall, I’m feeling okay. We’ve been watching for a slowdown. And so far, again, our numbers would say the volume per unit per user is probably not anywhere near the peak, but so far, we’re doing okay relative to our competitors.
Rich Heppenstall: Yeah. And Matt, this is Rich. Just to quickly comment, one of our kind of fundamental strength, I think, has really been around kind of our commercial execution and focus. And as you mentioned, Q2 last year was a relatively tough compare for the dental business, and we grew 40 basis points and implants did not go backwards, which we think is outpacing the market, generally speaking.
Matt Miksic: That’s helpful. And then just maybe just one quick follow-up to that topic is, obviously, there was a number of consumer segments, right, that sort of benefited from cash in people’s pockets and so on coming out of the pandemic. And I don’t know if this was one of them, but is that your perception? And last year, this quarter was a tough comp. Is it just a matter of working? Is part of it working some of that out of the market, sort of whatever that was, buying ahead, strong demand, say, 1 year, 1.5 year ago and getting on the other side of that? I understand you’re executing well against the market, which is great. But just as a market dynamic, do you think that’s one of the factors? Or is that not really so much something to think about for implants?
Vafa Jamali: Yeah, I think that bolus came Q1 of last year and Q2 of last year, where we really saw robust demand. We really saw that. So, that was terrific. And I think that was kind of fundamentally what you’re referring to. But what should make us really confident is that we beat both of those quarters this year. So that on itself lends me to believe that we’ve built a platform and we haven’t gone backwards on it. So, I think that probably indicates some share pickup on our part. So, I do think that those were boomer quarters, probably, because of some cash in pockets, but we haven’t gone backwards from those.
Matt Miksic: Okay. That’s great. Appreciate the color.
Vafa Jamali: Thanks for the questions.
Operator: Thank you. That now concludes the Q&A portion. I will now hand the line back over to Vafa Jamali for closing remarks.
Vafa Jamali: Thank you very much. Again, we look forward to continuously improving the performance of this business, and we really appreciate the questions and your attention. Bye for now.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.